Operator: Hello, everyone, and welcome to the Xenia Hotels & Resorts, Inc. Q2 2025 Earnings Conference Call. My name is Carla, and I will be coordinating your call today. [Operator Instructions] I would now hand you over to your host, Aldo Martinez, Manager, Finance to begin. Please go ahead when you're ready.
Aldo Martinez: Thank you, Carla, and welcome to Xenia Hotels & Resorts Second Quarter 2025 Earnings Call and Webcast. I'm here with Marcel Verbaas, our Chair and Chief Executive Officer; Barry Bloom, our President and Chief Operating Officer; and Atish Shah, our Executive Vice President and Chief Financial Officer. Marcel will begin with a discussion on our performance. Barry will follow with more details on operating trends and capital expenditure projects. And Atish will conclude today's remarks on our balance sheet and outlook. We will then open the call for Q&A. Before we get started, let me remind everyone that certain statements made on this call are not historical facts and are considered forward-looking statements. These statements are subject to numerous risks and uncertainties as described in our annual report on Form 10-K and other SEC filings, which could cause our actual results to differ materially from those expressed in or implied by our comments. Forward-looking statements in the earnings release that we issued this morning along with the comments on this call, are made only as of today, August 1, 2025, and we undertake no obligation to publicly update any of these forward-looking statements as actual events unfold. You can find a reconciliation of non-GAAP financial measures to net income and definitions of certain items referred to in our remarks in our second quarter earnings release, which is available on the Investor Relations section of our website. The property level information we'll be speaking about today is on a same-property basis for all 30 hotels unless specified otherwise. An archive of this call will be available on our website for 90 days. I will now turn it over to Marcel to get started.
Marcel Verbaas: Thanks, Aldo, and good morning, everyone. We are pleased with our second quarter performance as our portfolio delivered results that meaningfully surpassed our expectations. Both revenues and hotel EBITDA increased significantly compared to the same period last year, which is especially encouraging during a time when industry performance continues to be choppy in an uncertain macroeconomic climate. Performance at our recently renovated and branded Grand Hyatt Scottsdale Resort continues to be on track and was the main driver of our 4% same-property RevPAR increase for our 30 hotel portfolio for the quarter. This 4% increase was driven by a 140 basis point increase in occupancy and a 2% increase in average daily rate. As mentioned in our release this morning, we saw a very strong group business demand throughout the portfolio during the quarter. This strengthened group business drove substantial food and beverage revenue increases at a number of our properties, which greatly contributed to an 11% increase in same-property total RevPAR compared to the second quarter of last year. For the second quarter of 2025, we reported net income of $55.2 million, adjusted EBITDAre of $79.5 million and adjusted FFO per share of $0.57, which was an increase of 9.6% compared to the same quarter last year. Second quarter same-property hotel EBITDA of $84 million was 22.2% above 2024 levels, and hotel EBITDA margin increased 269 basis points. Excluding Grand Hyatt Scottsdale, second quarter hotel EBITDA increased 11.5% and hotel EBITDA margin increased 148 basis points. The majority of our second quarter outperformance was the result of outsized gains in highly profitable catering revenues that substantially exceeded our expectations at a majority of our group-oriented hotels, coupled with lower-than-expected expense growth across our portfolio, this fueled solid operating margins and hotel EBITDA growth. Additionally, our EBITDA margin benefited from the timing of approximately $1.5 million in property tax refunds that were received during the second quarter. For the second quarter, same-property group room revenues increased 15.6% as compared to the same period last year, an increase by 7.6% when excluding Grand Hyatt Scottsdale. Corporate transient demand continues to recover slowly, while leisure demand has continued to normalize over the past several months and into the summer season. Performance at the newly up-branded Grand Hyatt Scottsdale Resort has been encouraging, and revenues and bottom line performance are tracking in line with our underwriting expectations thus far. Although leisure demand in the Phoenix Scottsdale market has been a bit softer this year. The trajectory of group demand continues to improve, both in the quarter and for the future. The property saw group market share improve each month during the second quarter, which culminated in the resort exceeding 2019 group room nights and revenue during the quarter and achieving above fair share in its competitive set for the first time post renovation in June. The group's success translated to extremely strong banker and catering revenues, with the resort producing the highest such revenues on record for the month of June. We are pleased with the progress that has been made thus far and remain confident in our investment thesis and the earnings growth that we expect this outstanding property to deliver over the next several years. In addition to the strong growth in Scottsdale during the second quarter, we saw outsized RevPAR growth in Pittsburgh, Orlando and our California markets. Fairmont Pittsburgh had an extremely strong quarter. which was aided by the U.S. Open taking place at Oakmont in June. In our California markets, we experienced particularly strong RevPAR growth in Santa Barbara, San Francisco and Santa Clara. On the transaction side, on our last earnings call, we discussed the sale of Fairmont Dallas, which was completed early in the second quarter. As a reminder, we sold the hotel for $111 million, generating an unlevered IRR of 11.3% over our approximately 14-year hold period. We estimate that approximately $80 million of near-term capital expenditures would have been required to maintain and improve the hotel's market position. And we believe that the sale of the hotel was a superior capital allocation decision for the company. Now turning to our capital expenditure projects. We continue to project that we will spend between $75 million and $85 million on property improvements during the year, which, as you will recall, is an approximately $25 million reduction from the amount we projected at the start of the year. We strongly believe we acted prudently to reduce our capital expenditures in an environment in which tariffs on imported goods remain uncertain and could be meaningful. Our project management team has done an outstanding job in evaluating all ongoing and upcoming projects to mitigate any impact to the extent possible, including identifying alternative sources for goods and materials. Barry will provide an update on our ongoing and upcoming capital projects during his remarks. Looking ahead, in the second half of the year shaping up in line with our prior expectations. Group business continues to be a bright spot and is expected to be particularly strong in the fourth quarter. Meanwhile, corporate transient demand is continuing to recover slowly, while leisure demand continues to normalize, consistent with our expectations at the start of the year. We estimate that July RevPAR growth for our 30 hotel portfolio was slightly negative compared to the same period last year. While this is a slowdown from the RevPAR growth we experienced in the second quarter, we had anticipated this as the summer months are more dependent on leisure demand that as we expected, is a bit weaker than last year. Additionally, RevPAR growth was very strong in the Houston market in July of last year in the aftermath of Hurricane Beryl. When we exclude our Houston hotels, we estimate that RevPAR for the remainder of the portfolio increased by approximately 3% in July. Given recent trends, we have increased our full year guidance for adjusted EBITDAre and adjusted FFO to reflect our outperformance in the second quarter and an unchanged outlook for the second half of the year. While we expect revenue growth to be muted in the third quarter, we are anticipating a stronger fourth quarter as our group revenue pace for the quarter continues to be highly encouraging. We believe that owning a portfolio of luxury and upper upscale hotels and resorts that are not heavily dependent on inbound international and government demand is particularly beneficial in the current economic environment. And we saw the benefits of this in our second quarter results. We continue to be optimistic regarding future growth prospects for our high-quality portfolio and our ability to drive shareholder value through superior capital allocation decisions, such as the successful disposition of Fairmont Dallas and the repurchase of almost 6 million shares of our common stock year-to-date at an attractive valuation. I will now turn the call over to Barry to provide more details on our operating results and capital projects.
Barry A. N. Bloom: Thank you, Marcel, and good morning, everyone. For the second quarter, our same-property portfolio RevPAR was $195.51 based on occupancy of 72.3% at an average daily rate of $270.42, an increase of 4% as compared to the second quarter in 2024. Excluding Grand Hyatt Scottsdale, second quarter RevPAR was $194.87, an increase of 0.4% as compared to 2024. This increase reflected a decrease of 40 basis points in occupancy for the period and an increase of 0.9% in average daily rate as compared to the second quarter of 2024. Our top performing hotels in the quarter were Grand Hyatt Scottsdale, with RevPAR up nearly 150%. Fairmont Pittsburgh up almost 30%; Kimpton Canary Santa Barbara up 10%; Park Hyatt Aviara, Hyatt Regency Santa Clara and Marriott San Francisco Airport, each up approximately 8%; and Hyatt Regency Grand Cypress of just over 7%. Strength in group business and continued improvement in corporate demand was the driver behind the success in most of these properties. Hotels have experienced RevPAR weakness compared to the second quarter of 2024, included Royal Palms, which suffered from softer leisure demand, both Portland hotels, which experienced an anticipated decline in citywide convention demand. Marriott Dallas, which lapped last year's solar eclipse and saw softer citywide convention demand and Westin Oaks in Galleria, which experienced softer in-house group demand. Looking at each month of the quarter compared to 2024, April RevPAR was $207.24, up 3.7%. May RevPAR was $194.80, up 3%. In June, RevPAR was $184.50, up 5.5%. We've seen continued recovery in corporate and group rates, and we continue to achieve significant RevPAR growth across the portfolio on Tuesday and Wednesday nights with RevPAR growing ex Scottsdale and 4.6% and 3.6% for the quarter, respectively, with growth in both occupancy and rate. This growth was mitigated by RevPAR declines on weekend and Monday nights, with occupancy declines related primarily to softening leisure demand. Business from the largest corporate accounts across our portfolio continues to grow significantly, although still meaningfully behind 2019 levels. We note that compared to 2019, which excludes Hyatt Regency Portland and W Nashville, during the second quarter, daily occupancy still trailed by approximately 6 to 8 occupancy points midweek and the corporate business from small and medium-sized accounts has recovered much more significantly. Recent performance in our corporate transient-driven hotels gives us confidence that we still have significant growth ahead, particularly during high business travel demand periods. Group business continues to be a bright spot across the portfolio. For the second quarter, excluding Grand Hyatt Scottsdale, group room revenues were up 7.6% compared to the second quarter of last year. This growth was driven more significantly by room nights, which were up 6.5% and by average rate, which was up 1%. Food and beverage revenue from groups was particularly strong in the second quarter as high-quality corporate groups continued their trend towards higher-end catered events. Now turning to expenses and profit. Second quarter same-property total revenue increased 11% compared to the second quarter of 2024. Hotel EBITDA margin improved by 269 basis points, resulting in hotel EBITDA of $84 million, an increase of 22.2%. Since Grand Hyatt Scottsdale was undergoing its informative renovation last year, following P&L analysis is presented for the remainder of the same property portfolio, which had excellent results for the quarter. Hotel EBITDA was $77.4 million, an increase of 11.5% on a total revenue increase of 5.9%, resulting in a margin improvement of 148 basis points. Rooms department expenses increased just over 3% on 0.4% RevPAR growth. Food and beverage revenue growth was outstanding with overall growth of 12.7% and banquet revenue growth of nearly 20%, driven by higher quality corporate group business compared to the second quarter of last year, driving margin improvement of over 300 basis points. Other operating department income, including spa, parking and golf revenues was up 5%, and total RevPAR increased by 5.9%. In the undistributed departments, expenses in AMG and sales and marketing were very well controlled. AMG declined by 1.1% compared to last year, while sales and marketing expenses grew by just 2.1% reversing the increasing trend we've experienced over the past several quarters. Property operations and utility expenses were up 4.8% and 7.3%, respectively. Turning to CapEx. During the second quarter, we invested $18.5 million of portfolio improvements, which brings our total for the first half of the year to $50.8 million. These amounts are inclusive of capital expenditures related to the substantial completion of the transformer renovation of Grand Hyatt Scottsdale. We made significant progress during the quarter on select upgrades to guestrooms at a number of properties, including Renaissance Atlanta Waverly, Marriott San Francisco Airport, Hyatt Centric Key West, Hyatt Regency Santa Clara, Grand Bohemian Mountain Brook, Grand Bohemian Charleston and Kimpton River Place. This work will continue throughout the year and is being done based on hotel seasonality is expected to result in minimal disruption. We expect to commence work in the fourth quarter on a limited rooms renovation at Fairmont Pittsburgh and a renovation of the M club at Marriott Dallas Downtown. At Grand Hyatt Scottsdale, we began work on improvements to the building facade and parking lot in the second quarter, with completion expected in the third quarter. Additionally, we continue to perform significant infrastructure upgrades at 10 hotels this year, including facade waterproofing, filler replacements, elevator and escalator modernization projects and fire alarm system upgrades. With that, I will turn the call over to Atish.
Atish D. Shah: Thanks very much, Barry. I will provide an update on 2 items this morning, our balance sheet and 2025 guidance. At quarter end, we had approximately $1.4 billion of outstanding debt just over 3/4 of our debt was hedged or hedged to fixed. Our weighted average interest rate at quarter end was 5.7%. Additionally, at quarter end, our leverage ratio was approximately 5x trailing 12-month net debt to EBITDA. Pro forma for the sale of Fairmont Dallas, our leverage ratio was 5.2x. We expect our leverage ratio to further decline as Grand Hyatt Scottsdale continues to stabilize. As a reminder, we have no preferred equity or senior capital. Our long-term leverage target is in the low 3 to low 4x range. Our debt maturities continue to be well laddered. And at quarter end, our debt had a weighted average duration of 3.7 years. The vast majority of our properties, in fact, 27 of our 30 hotels are unencumbered. As to liquidity, we finished the second quarter with $173 million of available cash, excluding restricted cash. Our $500 million revolver remains undrawn. Therefore, total liquidity was $673 million. Our Board authorized a second quarter dividend of $0.14 per share. If annualized, this reflects an approximate 4.5% yield on our current share price. As to payout ratio, if annualized, this reflects a payout ratio of just under 50% of funds available for distribution, or FAD. Our long-term target is a payout ratio of 60% to 70% of FAD, consistent with our pre-pandemic payout range. During the quarter, we repurchased $35.7 million of common stock. Since the year began, we have repurchased $71.5 million of stock which equates to 5.6% of our outstanding shares at year-end 2024. Our year-to-date weighted average buyback price is $12.58 per share. We have $146 million of remaining capacity under our share repurchase authorization. We continue to believe our shares are a good value given the outlook our balance sheet and relative to other uses of capital. Turning next to my second topic, our current 2025 full year guidance. We are increasing our current full year guidance for adjusted EBITDAre by $8 million at the midpoint to $256 million. The increase reflects the carry-through of our second quarter beat with no change in overall outlook for the second half. As to the specifics of each of the third and fourth quarters, and this is important from a modeling perspective, our cadence of earnings has evolved slightly. Our expected adjusted EBITDAre weighting is as follows. In the third quarter, we expect to earn about 15% of full year adjusted EBITDAre. And in the fourth quarter, we expect to earn a quarter of full year adjusted EBITDAre. The rationale for this slight change to waiting is threefold as follows: First, we have fine- tuned our quarterly estimates as we have a better grasp on the seasonality of our portfolio. Second, the timing of approximately $1.5 million in tax refunds moved from the third quarter to the second quarter. And lastly, relative to our prior forecast, our properties expect a smid soft leisure demand in the third quarter and a touch better group demand in the fourth quarter. Moving ahead to our RevPAR outlook, the midpoint is unchanged at 4.5% growth. Exclusive of Grand Hyatt Scottsdale, we expect RevPAR to grow 1.5% for the full year which is consistent with our prior guidance. Our implied second half RevPAR guide of approximately 3.6% growth at the midpoint reflects a flattish summer followed by better growth in the fall, again, driven by Scottsdale. Exclusive of Scottsdale, our full year guidance implies less than 1% back half RevPAR growth across the portfolio. The key months for us are September and October, and we expect our strong group base to provide compression to enable our properties to optimize the transient segment. Turning to group business, which by way of reminder, was about 35% of our overall mix in 2024, which is up a couple of points versus prior years. Our outlook continues to be strong. As of the end of June, group room revenue pace for the second half is up 16%, excluding Grand Hyatt Scottsdale, it's up 7%. While this reflects an expected moderation from a few months ago, it sets us up well for the second half, particularly the fourth quarter, and we remain on track to have a stellar group year. Looking ahead to 2026, group revenue pace is up with over 40% of our estimated group rooms revenue for '26 definite as of June 30. Exclusive of Scottsdale, group room revenue pace is up in the low teens percentage range for 2026, inclusive of Scottsdale group pace is up in the mid-teens percentage range. We are seeing strength across the portfolio, and this speaks to the quality of our assets, the investments we have made in meeting space and group amenities and the power of branded hotels and attracting group demand from the association, corporate and leisure segments. So again, early indications are that 2026 will be a strong group year. Over time, we believe the group segment can reach the high 30% range of our rooms revenues. Given the increasing importance of nonrooms revenue that is driven by this group demand, we have introduced total RevPAR disclosure in the table on Page 3 of our earnings release. Moving ahead to hotel EBITDA margins, the drivers of second quarter strong gain were: a, banquet and catering profitability; and b, expense controls on the undistributed areas of the P&L. We expect these dynamics to continue in the second half, albeit at a lower pace. In addition, second quarter margin benefited from property tax refunds, which boosted margins by approximately 60 basis points in the quarter. Overall, we expect second half hotel EBITDA margin to be flat to last year, excluding Scottsdale, we expect hotel EBITDA margin for the second half to decrease approximately 100 basis points. Our guidance for interest expense, income tax expense and capital expenditures are unchanged. We expect cash G&A expense to increase by $1 million due to higher incentive compensation because of the increase to full year earnings. And finally, our adjusted FFO per diluted share guidance midpoint is at $1.73, which is an increase of $0.11 at the midpoint. This reflects both the increase in adjusted EBITDAre as well as the beneficial impact of share repurchases. Relative to 2024, our guidance reflects over 8% growth in adjusted FFO per share. In closing, our strong performance in the second quarter reflects many of the positive attributes of our portfolio. We have a high- quality premium all branded collection of assets that benefit from group as well as transient demand. We are seeing the benefit of having multiple earnings levers at the property level. And as we look forward, we are encouraged by the supply outlook. Annual U.S. lodging supply growth for higher-end hotels is expected to fall from the 1.5% range at present to 0.2% by 2028. Overall, industry supply growth is for 2028 is even lower at 0.1%. If this comes to fruition as projected, it will make for the best backdrop for top line growth that we have had in the last 2 decades. That concludes our prepared remarks. And with that, we will turn the call back over to Carla to begin our question-and-answer session.
Operator: [Operator Instructions] And the first question comes from David Katz with Jefferies.
David Brian Katz: So I wanted to just sort of float the conversation about stock buybacks. And they obviously are not a broad-based cure all. But given that you've come through a CapEx cycle, clearly quite well. And I think the sort of valuation discussions, I think, have been -- had many times over. How are you thinking about buybacks and potentially the prospect of maybe ramping those?
Atish D. Shah: David, thanks for the question. I think we continue to think buybacks are a good tool to drive shareholder value. And I think you've seen us be very active on that front, maybe more so than others in the peer set even and even this year, I mean, we bought a large amount of our flow back thus far at a price that's roughly in line with where we trade today. So I think we remain very open to it. We've been very active with buybacks and on the counterbalance, there are obviously some including our leverage level and being mindful of that. So I would say we continue to utilize it as a tool to drive value for our ownership base.
David Brian Katz: And just one more broad-based follow-up. So far, we've obviously come through earnings. And I guess I would ask your collective help in classifying some of the dispersion we've seen in outlooks, right, where you obviously have fully loaded new assets that are helping group, right? But some of the group commentary has been mixed. Some of the leisure transient seems to be a bit mixed. Some of the BT is mixed. How might you help us explain sort of what we're seeing out there?
Marcel Verbaas: Yes. Sure, David. From my perspective, really focusing on our portfolio, obviously. We're not very dependent on kind of large citywide conventions. And I think some of our peers benefited from that a little bit last year in some of the markets where they have a little greater concentration than we have. So we didn't necessarily benefit from a great group set up last year, but we've had a really good group set up this year and also going into next year, as Atish talked about a little bit or kind of the early numbers on our pace for next year. So we've obviously invested a good amount of money over the last several years too, in upgrading a lot of our meeting facilities at some of our larger hotels, the new ballroom that we created at Hyatt Regency Grand Cypress clearly, what we did here very recently at Scottsdale significantly expanding the ballroom space there. But we've spent a good amount of money on upgrading our other facilities as well. So I think it set us up well for really capturing a lot of the higher end corporate business -- corporate group business. We're also seeing a bit of a pickup now in the associations on the group side. So for us, as we got into the year, and I mentioned this a couple of times in my prepared remarks. The way things are playing out for us are very similar to what our expectations were at the beginning of the year, which was a great group set up, seeing this kind of continued albeit relatively slow, but a continued improvement on the corporate transient side in the midweek business. And we expected some softening in leisure demand, and we've definitely seen that in the early part of the summer. Now we obviously hear a lot of the commentary too, from other travel companies, including some of the airlines talking about expecting to see a little bit of a pickup as we get into August, September. And we certainly hope to see some of the benefit of that. But as I said, the way things have played out for us this year are very much in line with what we expected at the beginning of the year.
Operator: The next question comes from Aryeh Klein with BMO Capital.
Aryeh Klein: Out of room spend seemed to be a lot better than expected in the second quarter. And I guess as you look out to the second half of the year, while the RevPAR growth expectations haven't changed, have your expectations around the out-of-room piece change? Or are there some benefits in the second quarter that may not necessarily be repeatable?
Marcel Verbaas: Well, thanks, Aryeh, for the question. It was very strong for us in the second quarter and certainly was a bit of a surprise to the upside. We obviously had a good group pace going into the quarter and good catering pace. But the way that things fell out, there was just a good amount of additional spending from groups that we're staying at our hotels and resorts during the quarter. So as we look kind of towards the second half of the year and Atish talked about that in his comments regarding kind of our updated guidance. The third quarter is a little bit weaker from a group perspective than the fourth quarter. The fourth quarter sets up really well for us. We have a very strong group base in the fourth quarter. So we could certainly see a scenario where in the fourth quarter, we'll see some upside spending on the catering and banquet side as well. But it's going to be a little more muted in the third quarter that is historically obviously, a, driven a little bit more by leisure anyway, but also in the way that the seasonality of our portfolio sets up is just the weakest quarter from a seasonality standpoint. So I wouldn't expect to see a lot of that outside spending in the third quarter, but have some potential for that in the fourth quarter.
Aryeh Klein: And maybe just as a follow-up on that, in the third quarter. Anything on the shorter-term booking standpoint from that standpoint that you've seen slow, that's obviously been something maybe called out by some others. Are you seeing that? And then just on Scottsdale, have your expectations around EBITDA for the year changed from the low 20s that you previously anticipated?
Atish D. Shah: Well, let me start with the second one. The expectation for Scottsdale in the low 20s. That has not changed. So we're still expecting to be in that range. And in the investor presentation, we published this morning, we have kind of the outlook for the next 2 years provided in there as well. So in the $30 million range next year in the low 40s the year after. To your first question, in terms of booking velocity and pace, I think certainly, our guidance reflects kind of a more muted demand on the leisure side. And as we started the year, we thought leisure was going to be down, and I think that's consistent with how we feel today. So I would say that's where you've seen maybe not as much of the transient pickup is on the leisure side in the near term. But we continue to feel good about group and the production that we're doing both in the year and for the future, even in recent weeks. I don't know, if Barry or Marcel, you have anything to add on that front?
Barry A. N. Bloom: No. I mean I think you summarized that well.
Marcel Verbaas: Yes. And as it relates to the third quarter, we always knew that July was going to be a little weaker, particularly because of some of the comparisons to last year, and we highlighted some of the strength that we saw in Houston July of last year. Clearly, lease demand is a little softer like we talked about. The group demand is not quite as robust in a month like July in our portfolio with the seasonality that we have in our portfolio. So that's kind of how the third quarter is shaping up. I'll add one thing to the Scottsdale comment that Atish made, which is we've seen really good results on the group side at the property, obviously. And I highlighted some of those things that we've seen over the last few months at the property. So we definitely have seen group business be a little bit stronger there this year than anticipated at the beginning of the year and also some of that out of room spending that we definitely got in Scottsdale as well. And overall, leisure demand is a little bit softer in the Phoenix Scottsdale market. So that's offset a little bit of that really good strength that we've seen on the group side. So that's why our expectations for the full year first year coming out of renovation haven't changed at this point.
Operator: The next question comes from Austin Wurschmidt with KeyBanc Capital Markets.
Austin Todd Wurschmidt: Appreciate all of the details on the group pace you provided. Is this mostly volume-driven just given kind of the ramp that you've talked about with Scottsdale? And I guess, what are you seeing on the rate side for group given some of the upgrades to the space that you highlighted, Marcel?
Atish D. Shah: Yes. I mean, I'll start. In terms of the second half, it's 2/3 volume, 1/3 rate. And as we look into next year, it's a similar balance, 2/3 volume, 1/3 rate. And that obviously does reflect Scottsdale picking up additional room nights there. If you strip out Scottsdale, it's a little bit more even half demand, half rate for the balance of the year. So look, I think there's a story on both those, obviously, on the demand side, we're seeing not only at Scottsdale, but at other locations where we've made improvements and expansions to meeting space like at Grand Cypress here in Orlando, we're seeing the ability to drive more group business into the property, given the additional meeting space. And then on the rate side, yes, we have made investments that improve the amenity offering and have enabled us to drive better quality group as well, so higher rated group. So those -- we're glad to see kind of both pieces come together and as several of our properties both experienced both good group demand as well as the ability to better optimize the group business based on the investments we've made.
Marcel Verbaas: Yes. And in the second quarter, and Barry highlighted that in his remarks, of the 7.6% increase in group revenues, excluding group room revenues, excluding Scottsdale, the majority of that excess of 6% came from group room nights and a little over 1% came from rate. The benefit of that, obviously, as you look at the rest of the portfolio is that it drove so much of the out-of-room spending. So with more people in the building for these group events, we got a lot more ancillary spending out of that. So it's not just a matter of kind of pushing the ADR on the group room nights. It's obviously when you look at that total RevPAR picture where it was very beneficial for us.
Barry A. N. Bloom: And strategically, it was not accidental. We worked with the properties last year at some very intentional strategies for '25 and '26 around filling group pockets where group might not have traditionally been. And that's going to come -- that's going to drive room nights, but it may come at a lower rate. So where we're booking business into the peak periods, we're growing rates significantly. But a lot of what you see in the blending of that with overall rooms revenue up so much is that the hotels are placing group business in areas that are -- of the calendar that are harder to fill. So we're very pleased. So we're very, very pleased with that. And the dynamic of the occupancy versus rate is, I think, is exactly where we had hoped it would be looking at this year and looking ahead into '26.
Austin Todd Wurschmidt: A great point and for the detail. The team also flagged attractive growth in some of your Northern California assets this quarter. Do you see that ramp continuing as you look into the booking window? And just curious if it's accelerating or just a continued steady improvement? And are you starting to see that growth flow through to the bottom line, given maybe some of the expense pressures that have been discussed in some of those markets?
Barry A. N. Bloom: Yes. Great question, Austin. We are definitely seeing continued increase in demand in the Northern California markets, particularly from the higher quality corporate demand and particularly on week night. That business, no doubt is growing as it relates to kind of the tech profile, the AI profile, all of the things that are happening out there, obviously, very positive. The challenge out there is that it is very high wage cost market. And it's markets where wage pressures have continued probably more so than we've seen in some of the other markets. So we're doing better. We're certainly increasing EBITDA. We're doing better EBITDA margin, but it's really tough to keep ahead of the cost pressures we're experiencing in those 2 hotels, 2 specific hotels, Hyatt Regency Santa Clara, Marriott San Francisco Airport. But again, we're pleased with the cadence of growth. We're pleased with what we're seeing on a forward-looking basis. And we're pleased with how well our hotels are doing relative to their competitive sets.
Atish D. Shah: And I'll just add for '26, when we look ahead to Northern California in terms of group pace, is tracking better than the low teens that I indicated for the portfolio ex Scottsdale. So certainly, those are expected to be drivers over the long term, and we're starting to see that recovery really take more strength as we look forward here over the next year.
Operator: [Operator Instructions] The next question comes from Jack Armstrong with Wells Fargo.
Jackson G. Armstrong: Can you share an update on any broader changes that you're seeing in consumer behavior? Any shift in the book window or are those generally stable? And do you have the preliminary read on July RevPAR?
Marcel Verbaas: I'll start us off and Barry jump in. So we talked about July that July was, again, was a tough comparison for us based on what we saw the strength in Houston last year and then some weakening that we did see in leisure demand over the early months of the summer. So I spoke about that a little bit. Our ex-Houston RevPAR number was up 3%, we estimate. And including Houston, it was down slightly. So we definitely saw some weakening on the leisure side over the summer, not unexpected, frankly. We had, again, kind of expected at the beginning of the year. And we're hoping to see a little bit more strength in August and September. We certainly are hearing the same thing, like I said, from other people in the business that say that, particularly on the airline side that are looking at bookings really kind of picking up as we get into the early -- the end of summer, early fall season. So we're hoping to see some of that as well. Obviously, in a portfolio like ours, when you look at transient demand, it doesn't look out particularly far. So it's hard to get a much better sense of where we think transient demand is going to go over the next couple of months. But we think that based on what we are seeing that July might have been kind of the kind of the lowest part of seeing that type of demand.
Jackson G. Armstrong: Helpful color. And then on transaction market, it seems that they've opened up significantly over the last couple of months with readily available financing that the reason that we're hearing from a lot of folks. With that in mind, are there any changes that you're looking to make for the portfolio kind of over the next year?
Marcel Verbaas: Well, as you know, we've historically always been a very transactional company trying to upgrade our portfolio for the long term, not only from a quality perspective, but from an earnings growth perspective, most importantly. Clearly, where stock price has been and not only for us, but many public companies, and you look at the value that we believe exists in our portfolio -- on our current portfolio, external growth opportunities have not been at the top of the list just because we think -- believe that there's so much more value in our existing portfolio. So I don't know that, that has changed. We haven't really seen too much of a change in potential acquisition opportunities that have become much more appealing. There probably are some more assets out there now than what we saw 6 or 12 months ago. But I don't think that the pricing has gone to a level that external growth is going to be a big driver for us over the next 6 to 12 months. Hopefully, that changes. And hopefully, those dynamics change a little bit where on both sides where if our stock price goes up and you see some better pricing for potential acquisitions, then it may become more appealing. But I don't see that as being a big driver for us in the short term. Now we'll continue to look at some additional dispositions over time. Nothing drastic as far as the reshaping of the portfolio. But clearly, to the extent that there are some CapEx needs, particularly at some assets and we don't believe we're going to get the appropriate return on investment on those and it may be time to sell some of those assets, but it's not going to be wholesale.
Operator: The next question comes from Daniel Hogan with Baird.
Daniel Hogan: First, just quickly on Scottsdale and you have other room renovations that you mentioned. Are there other bigger ROI projects that could be done, any up-branding opportunities that might be present within the portfolio? And are those conversations that would be started by you? Or would you need to be approached by the brands for that?
Marcel Verbaas: Well, it's really something that would be -- something we'd be driving from our side. But not a whole lot of significant opportunities there. I mean, there are some embedded opportunities in certain assets where we can, over time, look at either monetizing some. We have some additional land in a few properties, for example, where we could look at doing something with those, whether it's included adding some amenities to existing hotels or resorts or and/or potentially selling some of those land parcels. But it's relatively limited within the portfolio on the renovation side as we're kind of looking ahead over the next few years, we don't have any really massive projects upcoming. Some of the more run-of-the-mill type room renovations that we've always done throughout our history that could be happening over the next several years. But we really expect our total CapEx numbers to come down a bit over the next few years. Clearly, we brought our number down pretty significantly this year from where we started at the beginning of the year. But it doesn't mean that we've kind of kick things down the road. We do expect our number to come down over the next few years and kind of settled in more in that $60 million to $65 million probably a range of CapEx, if you look at the existing portfolio.
Atish D. Shah: Yes. And the only other point I'd add in terms of up-branding is our portfolio is 100% luxury and upper upscale. So there's not as much room potentially to upbrand, I mean we already have a very, very high quality portfolio. So that's also something to keep in mind maybe relative to others that may have lower-end assets.
Daniel Hogan: Okay. That's very helpful. And then quickly touching on expenses real quick. Are those pressures -- are you lapping tougher comps? If I remember, I think the pressure sort of started the second half of last year? And are those cost controls and other levers that you've pulled? Are those in a good position and just sort of waiting for those to play out? Or is there more still to tinker with?
Barry A. N. Bloom: There's definitely some lapping of last year, I think, both on the wage side where, in general, employee costs are not growing the same way they were last year and we expect that to continue through the rest of the year, although we're not forecasting really significant margin improvements through the second half of the year, in part because the RevPAR environment ex Scottsdale was still not terribly desirable. We are seeing the benefit in the middle of the P&L and some of the undistributed some cost savings from some of the programs the brands have talked about for quite a while. And we're seeing some shifts in some costs related to that actually lower when we do more group business, for example, lower credit card commissions when we're driving more group business and things like that. So obviously, something we have a careful eye on and -- but feel good about where we are but are not expecting significant improvements on the expense side for the rest of this year.
Operator: [Operator Instructions] So as we have no further questions in the queue, that does conclude the Q&A portion of today's call. So I will hand back you over to the Chair and CEO, Marcel Verbaas for any final comments.
Marcel Verbaas: Thanks, Carla. Obviously, we're quite pleased with our results for the second quarter. We believe we put ourselves in a position to outperform here over the next few quarters and going ahead. We have a great portfolio and we're really reaping the benefits of that. So we look forward to updating you over the next several quarters and hope you enjoy the rest of your summer.
Operator: Thank you, everyone. This concludes today's call. You may now disconnect. Have a great day.